Operator: Good morning, ladies and gentlemen and welcome to the Q1 2022 Conference Call of Raiffeisen Bank International. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Johann Strobl, Chief Executive Officer. Please go ahead, sir.
Johann Strobl: Thank you very much. Good afternoon, ladies and gentlemen. Thank you for taking the time to join us today. In what has been an eventful few months since we last reported, I am happy to report a strong set of results for the first quarter of this year. But before I delve into the financials, we must recognize that the outbreak before in our region has had a devastating impact on millions of lives. And our thoughts are with all that, our bereaved, displaced and otherwise tragically affected. We are inspired by the tremendous support which Ukraine has received from across the world and I am particularly proud of the solidarity shown by many of our colleagues in the regions. Hundreds of employees in Poland, Slovakia, Czech Republic, Hungary, Romania and Austria immediately volunteered with recommendation, transport, food and money and continue to do so today. As a company, we are also doing our part. We are supporting more than 1,100 colleagues from Ukraine and their families. In Vienna, we have assembled a team of over 200 help person volunteers, donated €10 million and raised €8 million from employees and customers. All of our network units in the region have also launched their own initiatives, including direct financial support and coordinating volunteer efforts. Moving to the financials, the consolidated profit of €442 million for the quarter reflects the very good first 2 months of the year in line with the very good trends which we observed in the second half of last year. This is particularly the case for the NII which comes in higher than Q4 where we had a large one-off from the . These include unusually high volumes, but are otherwise also very satisfactory. Loan growth was good in the first 2 months of the year and in Central and Southeastern Europe, most of the countries grew at low to mid single-digit rates. These strong results nevertheless include prudent provisioning with 97 basis points provisioning ratio. Hannes will walk you through this in full detail. Our CET1 ratio, including Q1 results, comes in at 12.3%. Just as we have been prudent on the provisioning, we have also upfronted as much of the RWA inflation as possible in the first quarter. This includes both the previously flagged inorganic effects as well as the rating downgrades in Eastern Europe. Accordingly, we expect the CET1 ratio to revert back to our 13% target in the coming quarters. Moving to the next slide. Let me talk a little bit of other activities away from Eastern Europe. And here I can report that our strategic initiatives are on track. Thank you. Sorry for this disruption. I assume you could hear me though I have covered the first slide, the overview, the executive summary. And I would now like to continue on Slide 5. And here, I wanted to focus and report on our strategic initiatives where I say these are on track. So for the last few years, we have been focusing on our market position in Central and Eastern Europe and in Serbia. We made success with Crédit Agricole Srbija acquisition. We posted on the 1st of April. And we are also making good progress with disposal of Raiffeisen Bank Bulgaria. And here, I can report that both parties are committed, and we expect to close this probably at the end of the second quarter or the beginning of the third quarter. I think equally important for us was the technical integration of Equa bank and the good onboarding of the ING retail customers. With the uncertainty we are facing in Eastern Europe, in Central and Southeastern – Central and Southeastern Europe is more important than ever, and our capital planning, we will take – and within our capital planning, we will take the necessary steps to ensure that there we can grow continuously. We have built buffers in the first quarter as well. And if you look at the increased stock of risk overlays, which is now at €516 million, I think you have to put this into perspective, and this is around 50 basis points of our CET1 ratio. We have reduced our ruble hedge. We are currently fully immunized against euro ruble volatility. And by this reduction, we have locked in €230 million of gains. And I have already mentioned it, I repeated that the RWA inflation, which is expected in Eastern Europe through the downgrade of the sovereign has been booked to a large extent as we have reviewed individually more than 2,500 counterparts. And we also reduced our cross-border exposure, which is now less than €400 million, cross-border exposure to Russia. Finally, we also postponed the planned dividend for 2021 to show up our CET1 ratio. I think we have been very busy in the first quarter, but we are well prepared for what lies ahead of us. Moving to the next slide, the income statement and the KPIs, I think it’s important to say that the annualized gross income at risk from customers, which are sanctioned. This probably is always a question for you. This is if we take the ‘21 as a proxy is around €60 million on group level. And we have to say that the first quarter was comparatively normal so that the impact will come from in the second quarter until the year end and one might say pro rata. And if we look at the distribution of it, then we can say that around 75% is related to Raiffeisen Bank Russia, and the rest to the head office. And also if you want to split it between FCI, then it’s a similar ratio. If we move to the next slide, then I mentioned the good development in the NII and I mentioned that this development could fully compensate for the , which we recognized in Q4. And given the strong trend, I think we can expect the uncertainties, what we have from FX rates and all the other elements and NII somewhere between €3.7 billion to €3.9 billion in 2022. And this assumption is based on the continued low growth in the core regions, Czech, Slovakia, Hungary, Romania. But we also have a positive impact from the rate tax, which we had in ‘21 and early – in the early ‘22. And of course, the loan book was filled nicely until the end of last year. So the asset base is good. And with all these developments, we expect that net interest margin will be around 2.1%, 2.2% in 2022. And of course, also, we still have quite a lot of surplus liquidity in this improved rate environment. This is now positive. When talking about the NFCI, again there, we can expect a mid-single-digit growth. And in absolute terms, this might be €2.1 billion. Of course, this is also supported by the good development in FX commissions. What we had in the first quarter. Then turning to the next Slide 8. Overall, we expect a flat development in loan volumes in 2022 as we have to assume some further weaknesses in currencies. But as I said before, our focus will be on loan growth in the core countries: Czech, Slovakia, Hungary, Romania and Serbia. And of course, one has to expect that not only because of the weakening of the currencies, but with the reason ahead of us that banks in Eastern Europe are reducing the loan book to be prepared for this difficult period, which lies ahead of us. And moving to the next slide, which is #9. Here, you can see that we have very solid liquidity ratios. So we had experienced deposit outflow with the beginning of the war in some countries somehow impacted by the way of the closure of  Europe, but we have recovered very nicely, and you see this also in the LCR ratios in all the countries. Then moving to the next slide, CET1 ratio. Of course, here, I had to say that the downgrading of the submarine and the direct and indirect impact on the risk weight brought our CET1 ratio down to 12.3%. And on this slide, you see the various elements we included, the retained earnings. We included the dividend in this number. So these are pro forma numbers in addition to the RWA increases and reflect the inorganic effect. I also have to stress that because of the continuous inflow of litigations in – Swiss franc litigations in Poland, we had another increase in also in the operational risk driven by that. Yes. And if we then move ahead one might ask with my statement, how to when starting with 12.3%, how might we come to close to the 13% at year-end. So here, we have to consider that the net impact the M&A activities, so the sale of Bulgaria and the consolidation of the participation in Serbia will bring in total 74 basis point improvement. Then, of course, you also expect over the next three, there is additional retained earnings in the region of 25 to 40 basis points. And then we have to a much lower extent also somewhat downgrades, some loan growth. And if we add this up together and with the inorganic effects, what we have flagged, which will be compensated by count the measures like securitization, we would end up close to 13% at year-end. When moving to the next slide, having a look at the capital ratios in total and as I have mentioned already, the CET1, let me focus on the total capital ratio. Here, you have to consider because of the regulatory amortization of issued instruments. So it had an impact of around €70 million or a total capital impact of 7 basis points because of the downgrades in the RB portfolios. This led to an increase of the regulatory expected loss and this reduced on the other hand, the IRP surplus, which is part of the total capital. In total, this impact was around €170 million or 16 basis points on the total capital ratio. Moving to the next slide, a few more information on Russia, network bank and the cross-border closure. You are aware that we have announced that we are looking at different options for our Russian business. And I think it’s important to state that as of today, we did not make any decision so far in which direction we are going. For us, most important for day to day is that the bank remains very well capitalized, very liquid and that it maintains its excellent operations. On the capital side, we have suspended new lending and will generally look to accept the rating downgrades and other inorganic effects by reducing our exposure. Our approach here is not to pursue new clients and new lending and only selectively rolling existing exposures. This also benefits to the liquidity, but we also can report a strong deposit inflow. And we have been very clear that we are under no obligation to provide any fresh capital or funding to RPU, and we do not expect that RPU required it anyways. We are exploring all our options. One is to sell, but we may also consider other possibilities such as giving up control deconsolidating Russia from the group, while still retaining a financial interest. We will still value – this is still – we still see value in our Raiffeisen integration is then how to best deliver value for our shareholders. A lot of the work we are doing today is to evaluate the options, the various scenarios under which we can make them the decision. This might also include a new business model for IFRS and Russia, which require significantly less capital and balance sheet. And this does not preclude a sale in part or in whole. I will not make any statement today on the time line. I can only reassure you that we are working hard on it. And as soon as we have clarity, we will share this information with you. But let me reassure that we will take as much time as necessary to achieve the best outcome for our shareholders. I have mentioned already the reduction of the ruble exposure and so the net cross-border exposure as well as the reduction of the ruble hedges. Let me now move to the next slide, which is 15%. What you see here is that, of course, we had to adjust the sector loan growth outlook, inflation. We start feeling corporate loan growth might be below nominal GDP trends with some exceptions in smaller countries on the Western Balkan and the higher interest rates leads to a cool off the housing loan market in several countries. Moving to the next slide, 16. Of course, the inflation, the war in Ukraine and also some other disturbances what we see will lead to a reduction in our – in our GDP growth assumption. Of course, the very negative impact comes in Ukraine being at war, but also the sanctions will bite deeply into the Russian GDP development and also in Belarus. Coming to the next slide, we have suspended for the time being, the medium-term outlook. And we want these uncertain times mainly give a guidance on the ‘22 development and here, I can sum up what I presented during my speech now. We expect an increase by high single-digit percent on the net interest income and the mid single-digit percent increase in fee and commission income. We expect the stable loan with mid single-digit growth in our core markets in Central and Southeastern Europe. We expect high single-digit percent OpEx growth plus an additional €100 million integration cost for the acquisitions of Equa bank and the Crédit Agricole Srbija. Nevertheless, we expect that the cost/income ratio will be around 55%. The provisioning ratio is expected to be up to 100 basis points. And this will lead to a consolidated return on equity in the range of 8% to 10%. And the CET1 ratio at year-end should be close to our 13% target. And with this, I hand over to Hannes.
Hannes Mosenbacher: Thank you, Johann. Good afternoon, ladies and gentlemen and thank you very much for taking time to join us today. The warranty devastation that we are witnessing daily in Ukraine is beyond words and millions of lives have been tragically affected. Before we discuss the impact on RBI, I would like to first recognize the remarkable effort by our colleagues in Ukraine, who have kept the bank up and running throughout the war. Many of our colleagues have been displaced and yet they are still working from the Western Ukraine or neighboring countries throughout the war. All normal banking operations were maintained. Most branches remained open and even cash in transit and ATM restocking was sustained. We are grateful for the effort and in spite better sense of duty. RPI is entering this unprecedented time in a very good shape. We have reflected nearly all the expected impact on our CD1 throughout RWA inflation, a sustainable stock of provisions plus additional overlays. Our portfolio quality is very good. Our nonperforming exposure at record lows, and we have minimal exposure to sanctioned entities. In Russia and Ukraine, in particular, NPE ratios are below 1.5% with a Stage 3 coverage ratio of 65% and 96%, respectively. One of the recent events may have been difficult to anticipate, I’m confident that we have done everything in our power to be as prepared as we can be. Risk management is about managing the future. And in the past years, we have implemented a number of processes and controls, which serves us well today. The strict monitoring of the overall exposure to Eastern Europe was designed to ensure the group’s resilience and even the most extreme scenarios this approach has been the cornerstone of our capital allocation policy to Russia and Ukraine in recent years. We also have been operating with very strict consideration limits on Russian entities, precisely for times like these. In 2018, we implemented a watch list of counterparts who could possibly become subject to Western sanction, and it is no accident that after 6 rounds of sanction, only 3% of our Russian and Belarus exposure is under asset-free sanctions. You are now very familiar with our approach to currency hedging. We learned our lesson in 2014 and 2015. We have substantially reduced the sensitivity of our CET1 ratio to large ruble moves. And of course, since the war start that we have been very busy. First of all, to ensure our clients’ liquidity needs, we fully restocked our ATMs and branch networks in Ukraine in anticipation of our customers’ withdrawals. We immediately downgraded Russia and Belarus to 1 notch above default and Ukraine into one notch above that. This led to a number of automatic downgrades. And we have performed over 2,500 further rating reviews, focusing on sanctioned entities and customers who are directly exposed. This means that we have taken most of the RWA inflation in the first quarter and only small amounts may materialize in the following quarters to come. As mentioned in our outlook, we expect to see a ratio – CET1 ratio to recover to about 13% from here. We have built up substantial provisions in the quarter in a variety of ways by updating the macro assumption IFRS 9 model by reviewing the credit ratings of impacted customers and by shifting the exposure to Stage 2 and finally, by building up more overlays and the expectation of risk costs to come. As of today, we have €560 million of risk overlays available to us. Since we spoke last time on the 1st of March, we have been actively reducing our cross-border exposure to Russia, which is now less than €400 million and will come down in the coming months. We closed out half of the ruble capital hedges, nearer  locked in €200 million, €230 million of profit. Equally important, our CET1 ratio is still fully modernized from any volatility on euro ruble. Let me now focus on a couple of slides. And on the first slide, now focusing on Page 19, you can see that we have booked €39 million of risk costs, 97 basis points. Risk cost overlay is €516 million; NPL ratio, 1.6% and 61.8% of coverage. In the middle of the slide, I have added some of our core beliefs and all of them, of course, very much impacted by the war. Of course, we will see that there is a sort of a slowdown, but not yet the recession in Europe, inflation will come in higher, higher interest rates to be expected Supply chain disruption and increased geopolitical risk goes without seeing causing some second ground effects. And the sanctioned regime and on Russia and Belarus, we assume will be long-lasting. Finally, the green deal and the energy independence got the new boost. All these leads are that we guide now for risk cost of up to 100 basis points. What is very important for me here is this is a gross number. This is a gross number and not assuming that we use any by these 100 basis points. But of course, if some of the events which we have presumed in our overly allocation would materialize, of course, we would make use of it. Let me move on to the next page. When talking about second round effect. We will be opening up our mind in asking ourselves who again might be heavily impacted by the second round effects. Is it energy or is it any issues on the supply chain when it comes to semiconductors. The obvious would be the car industries, also airlines and chemically, leisure and hotel industry would still also suffer. But again, you can see here that our exposure towards these companies is rather limited. Again, to emphasize that we have really done a very comprehensive work, 2,500 case-by-case customers use reviews have been conducted and therefore, reflecting the current risk assessment. We have downgraded the sovereign foreign currency rating for Russia, Belarus and Ukraine, just about the default rating and leading to more automatic corporate downgrades. On the next page, you can see after 6 rounds of sanctions and the date we are using here the cutoff date is the end of April. You can see that we came down from €7.5 million down to €613 million by heavily reducing this exposure to the sync corporate and financial customers. Just to remind ourselves, this equals 2.5% of the total exposure outstanding to Russia and Belarus. What can you expect how we are moving on and you can see this on the right hand side what are the maturities of the exposure towards the sanctioned entities and how these rundown could look like over the time? I move on to the next page on 2022, and there is so much talk about this RWA development. So let me give you some of the insights. In total credit risk increased by €11.8 billion, and asset quality effect was, of course, driven by the downgrade in Russia, Belarus and Ukrainian, mainly corporate sovereign and FI portfolio. The first 2 months have been characterized by good business demand and therefore, we also see an uplift in new businesses. Op risk, there was the explanation given. This is in the context with the Swiss franc mortgages. Market risk has a minor impact and then you can see because of the FX devaluation that there is also a little bit less of RWAs because of FX. What do we believe that you would have to assume over the next coming months on RWA effect? Yes. Unfortunately, the litigation in Poland will pursue and, therefore, also causing the 1  or other RWA increase out of op risk. I was talking about the 1  below FX, but this, we think, is very much contained, and we would currently assume just another €1.5 billion of RWAs. You can remember that there was this EBA guideline on the so-called repair package. And finally, please do not forget that there is a RWA relief as well from the Bulgarian de-cancellation. Let me move on to the provisioning and the composition of the provisions in the Q1 2022. So what you can see that in the Stage 1 and Stage 2 because of all these rating in reviews, we see an uplift, an increase of €116 million. The macro update converting to €115 million of uplift. We allocated some €50 – some €46 million. So when it comes to geopolitical risk and some €59 million when it comes to sanction risk in Russia. Part of the BMA we have released. And what you also can see that Stage 3 bookings have been extreme, maybe low. So meaning when we talk about our risk cost guidance, the most of this 100 basis points are being allocated to the Eastern European region. What is also important for me, when talking about the €390 million, and I can recall we have presented our 2021 numbers in our 2018 numbers, when we have been asked, he guys, listen, why are you allocating some provisions to sanction risk or geopolitical risk. So you could also add another €150 million what we have collectively booked over this period of time towards €390 million. I’ll move on Page 24, and I would be fast forward because there is little change, and I don’t want to steal your time. And this brings me to my last page on the NPE ratio and NPE coverage ratio, 1.6 NPE ratio, good coverage with around about 62%. There is just one thing which I would like to guide you through is if you look on the line regarding Eastern Europe, you can see that over the years, over 1 year, we have brought down the defaulted exposure from 2.2% to 1.4%. And at the same time, we have increased coverage. Having said all this, we are now more than happy to take your questions.
Operator:  Our first question comes from Izabel Dobreva of Morgan Stanley. Please go ahead.
Izabel Dobreva: Hello, thank you very much for the presentations, for taking my question. First of all, I have a question on Russia. So I know that you said you are exploring all options. So I was wondering if you have any update for us regarding a potential sale and if you have received any approach from potential buyers? Alternatively, I wanted to follow-up on the point you made around the consolidation. So would you be open to potentially spinning out this business into a bad bank SPV type of structure. Did I understand that correctly? Is that something which is an option on the table? Then my second question, moving on to the business outside of Russia, I wanted to ask you about the evolution of deposits because I saw that the bank had outflows in some countries like Czech, Slovakia, Hungary, could you share a little bit of color on drove the deposit outflows? And also, have you taken any pricing measures to stem these outflows since then? And then finally, I had a question on the cost of risk guidance of 100 bps. How does that break out between Russia, Ukraine and the rest of the business? I think on the Russian update call, you gave us a very useful guidance around your expectations around expected loss increase. So maybe if you could update us on that, that would be great? Thank you very much.
Johann Strobl: Yes. Thank you for your questions. If I might start with your questions to Russia. Indeed, after the announcement of the 17th of March, we have been approached with unsolicited indications of interest. As of today, we have not developed to a stage where I can share information. And to your second question considering splitting as I said, yes, we work on all potentials so that one is include it. And talking about outflows in some countries. I think there was this uncertainty with the start of the war as I described it, the outflow came from some concentrated volume deposits, some other uncertainties. We did not immediately react with pricing measures. But of course, the rate increases, what we have seen in the countries also required rate adjustments, pricing adjustments, I would say, as expected in the countries. And the risk goes to Hannes.
Hannes Mosenbacher: Izabel, on the risk cost guidance, just for those with participate what I said at this time, I was saying we have an expected loss in Russia around about €110 million to €120 million, and I was guiding for up to €480 million in Ukraine, I was talking about €30 million and then taking a market between, let’s say, seven upwards. So what we can see when talking about Russia, and you have seen that in the first quarter, we have another – we added another €220 million to Russia or €209 million to Russia. And please bear in mind, that we already have allocated risk cost and risk provision of €60 million in previous years. So when talking about and this is what I would confirm at this period of time is €480 million, so €280 million already done in Stage 1 and in Stage 2. We do not yet see any Stage 3 issues and topics. So having said this here would confirm. And as said, sanctions usually take a certain period of time that they eat through the balance sheet and the P&L statement. So this €480 million, I was talking about over a 2-year period. And said by Q1 2022, only €280 million are available as provisions. When it comes to Ukraine, we have – in this quarter, you can see that we have done €92 million of risk provisions. Please also add here to €25 million what we have done in the period of time. And here, I was guiding at this period of time around €200 million, €210 million, €250 million maybe. So here a big part of the inter provision need is already being done. Currently, colleagues, as I have said in my introduction, I’m very much focusing on fulfilling the client requests at the beginning, at least when it comes to liquidity. We’re in deep docks with declines and also to give you a reference how big is the portfolio, which is really in the most severe zone of war. This would sum up to €400 million as of today. Belarus, I would not get lost in details here, but this would be my guidance when it comes to risk costs. And please do not forget that we have this €500 million plus available for risk overlays. Thanks for your question.
Izabel Dobreva: Thank you.
Operator: Our next question comes from Mehmet Sevim from JPMorgan. Please go ahead.
Mehmet Sevim: Good afternoon. Thanks very much for the presentation. Just one question on asset quality. It looks like you’re front-loaded obviously quite significantly this quarter with Stage 2 loans up some €4 billion. Is this – just to confirm, is this just the conservative move on the back of the current situation? Or are you actually seeing any early signs of asset quality deterioration, particularly in Russia? And similarly, in Ukraine, how is the situation there from an asset quality perspective, obviously, a very tragic situation. Do you – are you seeing – are there any forecast measures that are currently in place? Are you seeing any issues at this stage with repayments and what level of NPL ratio should we expect in the longer term. And one more question on Russia. The second scenario you mentioned, which is giving up control and classifying it as a financial interest. Is that an either/or scenario or would you consider doing this and then looking for a buyer in the longer-term? And would you say that with all the front loading that you’ve done on the RWA front if you deconsolidate, should the impact be more or less flat on capital ratios? Thanks very much.
Hannes Mosenbacher: Well, Mehmet, thanks for all your questions. When talking about the asset quality and the Stage 2 exposure, yes, I would confirm is that we have chosen here a very prudent approach. Also already indicated with our call in the beginning of the March, that you will see that we tried to digest the biggest impact already in Q1. So, how it comes? If you have the downgrading on the sovereign exposure, you also have immediately to adjust some of your corporate ratings. And if the corporate rating jump goes beyond a certain threshold, the exposure immediately moves from Stage 1 to a Stage 2. And also, of course, you would find the sanction counterparts in this Stage 2 criteria. So this is the reason why you see this pronounced move from Stage 1 to Stage 2. And when talking about Ukraine, let me talk – let me be a little bit more detailed when giving you the context. If you look at the entire country map of Ukraine, we see that we have certain zones where the now more currently on, and we must not forget in the eastern part of Ukraine. Unfortunately, there is since 2014. So if you look at our portfolio distribution, you would find almost no exposure in Luhansk and Donetsk. So our exposure to this region is in Luhansk, €0; and in Donetsk, it was €2 million. So what colleagues have done looking at the entire country map of Ukraine and dividing Ukraine in three zones. There is the green zone, where there is currently no war are ongoing. There is the red zone where there is heavy fighting and there is the yellow zone, which is close to this red zone. So in this green zone, you would find out of our entire portfolio of 61% of exposure reflected this conversion to €1.6 billion; in the yellow zone, it’s €0.6 billion or 23%; and in red zone, it’s 16% or €0.4 billion. Having said all this, we are also in constant contact with our clients and banks, the entire banking industry with the beginning of February with the war situation immediately have volunteered to offer a private moratorium. We have asked our clients what do you think about the moratorium and would you need any extension of the payment holiday. On the PI side, 82% of them have confirmed that they would be willing to exit the payment holidays. On the SME side, 77% of our clients are intending to exit from the credit holidays. And on the corporate side, we see 67% of corporates clearly confirming and committing to pay interest payments and then leaving the payment holiday. So this is how I could give you a little bit more insight to the distribution of the portfolio to the current impact. And this, I think, could also give you a good guidance when talking about the different numbers in scenarios when talking about Ukraine. And of course, on the forbearance measure, since we now have done these deep docks, we hedge these payment holidays. You can see immediately out of the one minus the numbers I have mentioned how many of these clients would also then need maybe the one or other forbearance measure. But for me, honestly speaking, the results have been extremely struck in constructive. Johann?
Johann Strobl: To your two questions, Russia, I can both answer with, yes. So it’s part of our thinking that we might have a sequence of deconsolidation and later on, in a sale. And yes, as of today, the consolidation would be flat on the CET1 ratio. So no further negative impact. Thank you.
Mehmet Sevim: Great. Thanks very much for the details. Thank you.
Operator: The next question comes from Andrea Vercellone from BNP Paribas Exane. Please go ahead.
Andrea Vercellone: Good afternoon. Three questions. The first one is on cost of risk. I just want to repeat some numbers that Hannes has mentioned. So cost of risk for the group and the bps that’s just over €1 billion of provisions. Then correct me if I’m wrong, you said €400 million, Russia; up to €250 million, Ukraine, which leaves somewhere around €400 million for everything else. Does that mean that you are implicitly guiding for everything else, cost of risk this year, 40 to 50 basis points? Or I got the numbers wrong. If I got them wrong, if you could rectify them? Then on the ruble hedge, I was wondering if you can disclose what is the current outstanding loss, which would be at headquarter level on the derivative instrument? And then finally, on net interest income, it’s a qualitative answer. I would just like to know if in the countries where we are seeing interest rises, excluding Eastern Europe, I’m interested in Romania, Hungary, Czech Republic, are you all done in terms of sensitivity to rising interest rates or what we are seeing in Q1 intra-quarter what we have seen so far in Q2 will still bring a positive – will still be positive for your net interest income in those countries? And then if you can mention something about euro rate sensitivity, I guess, your answer is limited, but if you can say something on that? Thank you.
Johann Strobl: Andrea, thanks for the detailed questions. On the – on this 100 basis points, this was the reason why we chose carefully and staying up to 100 basis points of cost of risk. I think this is very, very important, and you are a close follower of RBI Group over many years. So this was the reason why I said up to 100 basis points and also clearly reflecting that this up to 100 basis points would not consider any utilization of the overlays. So that’s also very important, which are two important site conditions. And yes, on your calculation, I think what to bear in mind is, I confirm the number you have chosen for Russia. And a big part of this was already done with the €280 million over the years, so another €200 million maybe to come. And I think the biggest wild card is on Ukraine. I talked you through the different regions and zones. And therefore – and please do not forget also Belarus in this calculation, in this overall calculation of risk costs, but this would leave ample headroom also for the remaining non-Eastern European region. Hopefully, this helps in interpreting the guidance.
Andrea Vercellone: Anything you want to share actually on the guidance for the rest because the market essentially doesn’t care about Russia, Belarus, Ukraine, they are gone from a market point of view. So if you can guide us on the rest, probably it could be useful.
Johann Strobl: Sure. I think that we could see – and this is a hard question because of the second round and third round effect. But as of today, let me be broad. It would be somewhere around between 20 to 40 basis points.
Andrea Vercellone: Thank you.
Hannes Mosenbacher: Coming to your other questions, which is the mark-to-market of the derivatives which serve as a hedge on the participations here that as of 2nd of May, the valuation is minus €155 million. When talking about the benefiting of rising rates, yes, especially in the countries where you have mentioned, it’s still supportive also you have to bear in mind is that customers more and more than to restructure their assets in the direction of moving away from current account surpluses and savings accounts where the margin is increasing to time deposits, which are substantially priced higher. So you should not expect that every element of the rate hike goes into an improved NII or NIM but part of it will do so. Thank you for your questions.
Andrea Vercellone: Thank you.
Operator: The next question comes from Gabor Kemeny from Autonomous Research. Please go ahead.
Gabor Kemeny: Hi. A few questions from me, please. Firstly, on the Russia hedge. I understand that you had an €80 million, €90 million trading gain, which is the interest component on the hedge, practically related to relatively higher Russian interest rates. What should we expect here going forward? I assume you should have a positive impact from relatively high Russian interest rate. Secondly, on the Russia scenarios, the deconsolidation, would this entail tactically giving up control and to deconsolidate and give up control we have to sell in at least half of your interest in the Russian business. And the second thing on the – you mentioned the scenario when you would not sell but gradually shrink the business. Can you give us a rough sense and indication of the size to which you would seek to shrink the business in a group of contact in relative terms? Thank you.
Johann Strobl: Gabor. Indeed, the – in the Q1, there was a P&L impact of around €45 million, €55 million from the interest rate development. So, the forward part of it, whereas the €185 million, was in the – from the FX, which is in the OCI. And if we are now looking forward, of course, both effects will reduce in the various elements. If you look at it on the standalone, the positive – it will reduce the positive contribution, partly what we have seen in the first quarter, the I mean you can guess with the €155 million market value, what I have mentioned in which direction it might run. Deconsolidation indeed means that we have to give up control. This might be one way to – yes, to move away from Russia in – which under certain scenarios, it might be necessary, for example, we’re not going into much detail which scenarios would lead to such a step. But as I said before, we have to find solutions for all potential developments and scenarios what one can imagine. And on the other hand, explore also divestment opportunities like selling everything or part of the business. And in terms of how far would we shrink the business in Russia. I think here, it’s probably if you assume a shrinking of the land book by 25%, this is a reasonable assumption without destroying the bank. I think this is given the problems which are ahead in the country. It’s a prudent approach. And well, everything else will come along the lines. This does not mean that the assets would shrink in a similar dimension. I mentioned before that we have an inflow of deposits, and it might be that the overall assets issuing less than what we have indicated now for the loan book. Thank you.
Gabor Kemeny: That’s very helpful. And just another one perhaps for Hannes, you show in the report that in the SLI assumption, your GDP assumptions, your GDP growth assumptions, which are a bit less severe for Russia and Ukraine than what I understand your base case macro assumptions are. So would you be able to give us an indication what the provision impact could be from moving to your base case macro assumptions?
Johann Strobl: We will do so. Colleagues will find it out, but I would like to share with you the exact numbers and not just guessing around. Coming back to this question, Gabor?
Gabor Kemeny: Thank you. Thanks very much.
Operator: Our next question comes from Alan Webborn from Societe Generale. Please go ahead. Alan, please go ahead.
Alan Webborn: Hi, thanks for the color and your time today. Could you talk a little bit about the shape of demand – of loan demand in the first quarter? I mean was it the case that there was a sort of a big rush greater level of working capital demand from corporates in the – towards the end of the quarter. I mean, you’ve shown some quite strong growth numbers in some of the other markets outside of the EEA. So could you just put a little bit of a shape on the drivers behind that loan growth in the first quarter and what do you expect to see in the light of full year guidance once we’ve seen that. And are we going to see quite a sharp stop in demand in some markets because it does seem fairly clear that the shape of the economic growth in the CEE markets broadly was pretty strong in the first quarter, but things have changed rather a lot. So that was the first question. And the second question you touched on wanting to preserve your ability to grow in your core markets and that you were preparing for that? Could you put a little bit more color on that? I mean it appears that just for example, the SpareBank Europe assets, which I don’t think you’re now – you were part of but they do appear to be potentially more assets for sale than they were perhaps a year or so ago. Does your capital position now really exclude you from doing anything from that perspective or do you think you can manage the two processes should they come up at the same time? That was the second question. Third question, are you seeing any regulatory pressure, political pressure to push deposit rates up in the markets where the deposits have been – where interest rates have gone up, that would be interesting. And I suppose that also a more political question, your issue over Russia and Ukraine is above all a very delicate political one, and you have clear pressure from Ukraine against companies that are operating in both areas. And I wondered how do you manage this in terms of – whilst you make your mind up. And clearly, you thought very sensibly about balancing shareholder interest at the same time as expressing you views on the situation, but I wondered how you’re managing that because clearly, it must be tough both coming from politicians also from areas such as the ESG investors. And I wonder what you or your current year? Thank you.
Johann Strobl: Thank you, Alan, for your questions. And we’re showing some empathy for the management here, which came quite clear from the way you raised your question, which I’ll appreciate. Now going to the answers, so if you look at the loan demand. We had seen a very good loan demand in the Czech Republic, where we, at least in euro terms, improved by more than 7%. In some improvement in Hungary with 2% in Slovakia with 3% and in Romania, with 5%, Circa, 5%. And these are the core markets. And if I ask what do expect over the next couple of months till the year-end, then maybe in central Europe, some 4% to 7%, let’s put it like this, and which simply means there is less than what we had expected before the war. Second, I would not see a sudden stop as at least from all what I hear from our group, what I see in the loan applications, I – no signs for a sudden stop, which means no further loan demand. Also, we see a slightly changing pattern. So I think the rate tax, what we have seen in some countries. Now rates get expensive. And we see this that in the mortgages, there is a little lower demand now than we had seen before. I have to say that also, it’s – if you have high quick rate hikes, it’s difficult in these markets to immediately adjust the offer prices. You always have to accept some time lag, which makes it also less attractive to offer more of that. So it’s a combination of these two developments. When talking about the – your other question, which was – can we participate? Can we participate also in potential portfolio sales that – yes, we can. We would look at it. You said if it fits to our portfolio. I think what we see now these are not in a size which we cannot adjust it. So we look at it. And this relates to your other question, do we see political pressure in some of the countries to raise deposit rates. We see political pressure. It comes and is still in discussion. So there are some areas where politicians consider a cap on rates, which is not a surprise that then some central bankers are opposing it and rather recommending other elements like having bank taxes or whatever. So this in some markets, this discussion is ongoing. Not necessarily for higher deposit rates. And here, I assume it’s the anyhow of the competition, which adjust this, of course, now it’s very interesting to acquire deposits. We are not anymore in this costly surplus situation at all. When talking about Russia and Ukraine and the pressure from politicians, so here, the pressure, as you rightfully indicated, the pressure comes from Ukraine. We see an ongoing public discussion. We see also letters being addressed to us. We closely follow the discussion in the country with all the steps to even up to a nationalization of the bank. This is what we are aware of. It’s difficult to say from this – from today’s perspective in what – where we finally would end, of course, there are also voices from the country, which they are where if nationalization would start this would be very, very negative for an investment climate there. And of course, we have EBRD as a co-shareholder as well. So, I don’t know if this will have any impact on the political decisions. I think in any other areas, we – it’s not a political segment, which is considering options for us, but rather other pressure groups yes, Noble  and others who come to conclusions, which are…
Alan Webborn: So, at the moment, you can – you feel you can continue with your review at the speed that you, as a bank, feel is sensible?
Johann Strobl: That’s my feeling as of today, yes. But we do not want to create an impression that at this point in time, we are slowing down, not at all. We are – we want to get an understanding as quick as possible what options we have. And as I said, we had been approached by some interested parties. But it’s not at a stage where we could see what is the real interest. So, this needs to be explored and this we will do in the coming weeks.
Alan Webborn: Super. Thank you.
Operator: Our next question comes from Mate Nemes from UBS. Please go ahead.
Mate Nemes: Yes. Good afternoon and thank you for the presentation. I had three quick questions, please. The first one is on the stock of provision overlays I think this is €560 million. I think that includes sanction risks as well as . Just wondering, if you could give a breakdown of this total amount across various purposes and reasons? Secondly, it seems like that for deterioration of macro in Russia and Ukraine, you have taken significant provisions already. And I am just wondering if you had seen any further provisions for perhaps slower GDP growth and maybe higher inflation in areas outside of Eastern Europe, specifically in the CEE region. And the last question is just related to Poland, if you could just provide some update or an outlook as to what to expect in terms of additional provisions in the next couple of quarters? Thank you.
Hannes Mosenbacher: Well, let me start with the overlay discussion and breakdown of the total amount, which is summing up to €516 million. So, what I have to share with you that still some €300 million allocated for the special risk for as we have built up in the due course of the Corona crisis. And you see some of these things did not materialize as we have assumed. But this is €300 million still in the crisis allocated to Corona crisis. €220 million are allocated towards sanction risk. And as I said today, the biggest part of the portfolio would come with Russia, where about €100 million are being allocated when it comes to sanction risk out of this €516 million. And also, we have added €71 million for Ukrainian geopolitical risk and the remainder belongs to Belarus. Bear in mind that also some €80 million are being allocated to the retail portfolio is because of the industry belonging of the people who are – who have received some findings in for us is about increasing yield to be expected. So, this is the way how this €560 million do split up. And I am taking your next question in the Ukraine and Russia already having a significant part. Are we seeing need to increase in rest of the group. I think I gave before hand on one of the previous questions and argumentation on what I believe is decent to be assumed for the remaining of the group, where I said guidance could be between 20 basis points to 40 basis points.
Johann Strobl: Thank you, Hannes. And on Poland, I would say maybe – we don’t see any substantial changes so far. So, there is still an inflow of litigations. And if we have to extrapolate that, then one can assume that this year, litigation provisions might be up to €200 million, so €140 million, €150 million till the end of the year. Thank you.
Mate Nemes: Thank you.
Operator: Our next question comes from Hugo Cruz from KBW. Please go ahead.
Hugo Cruz: Thank you very much for the time. I wanted to ask about your guidance for core revenues with NII and fees, if you could strip out from that guidance, your assumptions for the contribution from Russia, Ukraine and Belarus? And then my second question was around CET1 ratio. And I have noticed that you are not talking about transitional ratio rather than fully loaded. I understand the difference between the two ratios of just 20 basis points in Q1. And I don’t know if I am making too much out of it, but I was just wondering the new wording around transitional. Is it because this – the difference between transitional and full loading will increase in the coming quarters, or are you just nothing to worry about it? Thank you.
Johann Strobl: Yes. Let me start with the first question, which is the revenue guidance here, I said at the very beginning that the NII will be €3.7 billion to €3.9 billion, and the assumption is that, of course, the Russian, Ukrainian business, so the Eastern Europe business will be reduced time by, as I have said, the loan book will decrease by some 30%, up to 30%. So, if I then look at it and if you would take out, let’s say, now Russia and Belarus as these are also the political discussed areas then this might be reduced by net interest income maybe down to €2.8 billion or so. And in the fee and commission income may be down to €1.5 million, but these are just proxies. Thank you. And when talking about the difference between transitional and fully loaded this is, and I will have to look up these numbers so that it’s not big and it, of course, it will decline over the next a few quarters as well. In the Q1, it was 17 basis points, so not too big.
Hugo Cruz: Thank you.
Johann Strobl: Thank you.
Operator: Our next question comes from Alexey Reutov  from Bank of America. Please go ahead.
Unidentified Analyst: Thank you very much for growth. Honestly, it is remarkable how well you have managed this crisis, and I believe your investors should be thankful for that. I have a couple of questions on the fixed income side. You mentioned in the presentation that you plan two to three issuances of covered and senior preferred bonds in 2022 at the holding company level. So, my question is how much senior preferred potentially in terms of size? And my second question is about your additional Tier 1 securities. Presently, the bond callable this year at trades like, it will not be called it trades at around 90%. So, is it fair to assume that your policy will be to call only on economic basis and also as you are planning deconsolidation of the Russian business, do you think it can dramatically improve your credit spreads, so that maybe those bonds start trading like they will be called and obviously, at lower spreads?
Johann Strobl: Yes. I think it might be the case that we want to come with maybe two issues, each of them €500 million. So, maybe a senior preferred could be €500 million and the rest depends on the market. I mean, it’s – yes, of course, we have to consider when talking about the 80 warrants, the economic impact on it. But of course, some flexibility in our decision is for sure build in today. It’s too early to say anything on the AT1. So, here, I kindly ask you to give me more time to explore the situation. I do not want to be impolite and revert the equation. People here, of course, tell me that – but these are experts in our bank tell me that, yes, if we move away from Russia, from the Eastern Europe then this should have an impact on the perceived risk profile of RBI and have an impact of spreads. But of course, you, as the market expert, would know better than I do. Thank you.
Unidentified Analyst: Okay. Thank you very much.
Operator: Our next question comes from Riccardo Rovere from Mediobanca. Please go ahead.
Riccardo Rovere: Thanks. Thanks for taking my questions. Sorry, I was cut off the call for 10 minutes to 15 minutes, so I apologize if I ask something that has already been asked two, three questions, if I may. First of all, just kind of clarification, with regards to the capital gain that you should book on the sale of Bulgaria, I noticed that the equitable pay has gone up quite significantly in the quarter by around €70 million. Should we use the equity at the end of 2021 rather than the one in the end of Q1 when we have to take into account the capital gain from the sale of Bulgaria? The second question I have is when you mentioned that the loan book in Russia should go down by 25% to 30%. Is this – does this include an accelerated call it wind down of the local exposures, or is it the normal run rate of the book when it comes to expire and obviously, it is not replaced. Just a bit of a clarification here? And another thing wanted to try to understand when you calculate – when you mentioned the amount of distributed asset increase or like little negative risk migration in Russia, Ukraine and Belarus is €8 billion, around €8 billion with the local – when I look at the local base increased in RWA in the division that is about €9 billion, that’s more than €9 billion. I was wondering whether the difference is that you posted some growth in the first two months of 2022 and then all of a sudden, everything come to a stop. And the other – the other question I had is, again, a clarification for Hannes, maybe probably. When I look at Slide 23, and I look at the breakdown of the provisions that you charge in Q1, when I look at the €116 million and €115 million, and €105 million, out of these numbers, is the €116 million included in the €516 million that you mentioned or just the €115 million plus the €105 million, just to have an idea of that? And with regard to COVID overlay that if I remember correctly, it was in the region of €300 million, just above €300 million in 2021. Could you use that for Russia, or should you, let’s say, release it and reconstruct them from scratch? Thanks.
Johann Strobl: Thank you for your questions. I hope we got all of them. If we do not answer all of them, you might immediately remind us what we have missed. To the question of Bulgaria, this is a fixed price, slightly above €1 billion, you would deduct all the costs what we incurred through the transactions by the transactions. It’s a locked box approach. So, whatever the capital is, at the time of closing it’s already KPC. So, only get this fixed price. When talking and answering your second question. The loan book in Russia, the 25%, I mentioned this is an assumption. So, what we do is we have relatively short-term loan book. So, what we see is repayment, there is no accelerated rundown or anything. It’s based on the natural amortization. I said we would be ready to in areas also to roll over something. So, this is a natural amortization. And then there was a question of was there a loan growth in the first two months in Russia, Ukraine. Here, I can confirm. I mean this was before war times we have seen activities there. In Russia, we already see if we compare – if you look at the numbers year-on-year – since beginning of the year, a reduction in the loan book, when talking about Ukraine, I think there was a slight increase. Here, we are supportive, especially in the agri finance, where we support now that the planting period of the crops and the risk costs. Hannes?
Hannes Mosenbacher: Riccardo, thanks for your questions. On Page 23, those columns shall sum up. But as soon as you have raised the question, I have recalculated and there is a slight difference. But the total amount is €319 million in the individual also should sum up to €319 million, but there is a slight gap for the bill. But this is the intention that these different pillars and columns are adding up. That’s the first thing. And on your last question, when it comes to making use of the overlays available when talking about the €300 million special risk factors up being built up during course of the Corona crisis. Usually, at least IFRS has it that after 2 years period of time, if you have allocated risk provision in this overlay structure that you either have incorporated it in the models or you would be encouraged to release them. So, the way it would go forward that we go segment-by-segment, bucket-by-bucket where we have allocated these distinctions, this part. And therefore, would then come up to – that we could release it. And many of them, I think they would be now almost maturity release them, and then we could reallocate it for Russia and Ukraine.
Riccardo Rovere: Thanks a lot. If I may, just a quick follow-up, I am not sure of and it’s your first answer.
Hannes Mosenbacher: Riccardo, I will just confirm that the risk cost slide is all of these things added working out. So, the 116, plus the 115 plus 110…
Johann Strobl: 105, the 35 minus 52, it’s €319. So, Riccardo, maybe the bullet points do not add up, but the – I mean out of my head, I will recalculate it, but I think it should add up. So, at least the graph should add it up. Thank you. But we will come back to you with recalculation. Sorry. Keep going with your questions.
Riccardo Rovere: I may just ask just a quick follow-up because I think you were providing this answer when I just rejoined the call. Did you – Hannes, did you mention that out of Russia or, let’s say, out of the Eastern European division, you expect risk costs to be in the 30 basis points to 40 basis points. And do this, if I just want to be sure, that is correct. And if that is – the new guidance is roughly 100 basis points, and this includes Russia. If I got it correctly, would it be 30 basis points, 40 basis points on the book excluding Russia or Eastern Europe or 30 basis points to 40 basis points, including the book on the Eastern European division. Just to be sure I understood it correctly.
Johann Strobl: Well, Riccardo, I think at least I could only partly follow. Let me start from the beginning how we come to this about €1 billion. And this is what we said is up to – let me reemphasize this, up to 100 basis points, not making use of any overlay. So, the way how we have thought and this is what we discussed anyway that in Russia, our way of thinking is that risk costs could sum up to €480 million. This was one number I mentioned already right in the beginning of the crisis and where we believe that the €480 million would rather come over 2 years period. And out of this €480 million, which I mentioned at this period of time, you could see that we already have done €280 million. So, maybe another €200 million if we would see everything still in this year, Belarus, we were thinking about that risk cost growth could go up to 60 plus/minus, but this is our way of thinking and thinking about Belarus. Ukraine is the most difficult ones. I was sharing with you that the portfolio in the red zone is currently €400 million that there is also a very high commitment of our customers to honor their obligations. Some of them even say, listen, we don’t need any payment holiday more. So, on Ukraine, you could add something between 200 and you make the choice on the upper end. And then I was saying that risk costs, which could then remain is maybe some 20 basis points to 40 basis points when talking about the remaining non-Eastern European exposure. Hopefully, it gives clarity.
Riccardo Rovere: Okay. Thanks. Thank you.
Operator: Our next question comes from Luis Garrido from Bank of America. Please go ahead.
Luis Garrido: Hi, yes. Good afternoon. Thank you very much for the call. I have three questions, please. The first one on the strategy, have you already reached strategic decision on what to do with Russia and the rest is only depends on execution of how to execute a partial sale or a full sale. And the second one is on capital. You seem to be confident that the risk-weighted asset inflation from rating migration has been front loaded now. Can you give us some sensitivities on what will need to happen to see more risk-weighted asset inflation? And how big it could be? Is this included, for example, in the €1.5 billion you gave and spillover effects? And then very finally, on issuance, did I hear you correctly, you also contemplated issuance of Tier 2? And would this help you think about a target in terms of buffer over total capital requirements from the currently low 108 bps? Thank you very much.
Johann Strobl: Yes. If I start with your last question, indeed, until year-end, we are contemplating a Tier 2 issue as well as the recognition in the total capital is reduced already. And so our capital structure is not optimal anymore. Then talking about your first question, no decision is made. I think at this point in time, it’s difficult to think about how do – how to execute so that – let’s put it that way. The options what we have and the strategic decision, they go hand-in-hand. At this point in time, we cannot separate them. So, I think if we – as long as we do not have a binding offer for a sale, other opportunities, other options have to be on the table as well. And yes, it might be that at some point in time, we have to say that whatever is offered in the sale is less attractive than other solutions for the shareholders like has been for whatsoever.
Hannes Mosenbacher: On the spillover. I think we have, as I have shown, we have done a review of 2,500 corporates and have deeply analyzed. But we see currently inflation in other topics. But I think this was just also on the industry outlook, which we have flagged that there could be another €1 billion to €1.5 billion of inflation, RWA inflation. On the Eastern European part, we have done our homework when it comes to re-rating.
Luis Garrido: Thank you very much.
Operator: Thank you.
Johann Strobl: There is one question in the chat. Sorry, operator, there is – meanwhile, there came in one question in the chat, which was asked by an investor, Rupert Heinrich Staller and he says if we assume that we reached 13% of CET1 ratio until year-end 2022, is it then right to assume that the postponed dividend for 2021 will not be paid out at all. I mean there the 13%, let’s say, there are maybe more options what we have in. So, I would not, at this point in time, fully absolutely say that this is out of reach. But I would not now start a dividend discussion for 2021. But let’s say, there is with all the measures, what we plan, 13% are really with a high probability that we will reach and we have, of course, a lower probability, we might be even higher, which then gives room for a new discussion. Thank you for the question.
Operator: And we have a question over the phone from Gils Berrous from OCTO Finance. Please go ahead.
Unidentified Analyst: Yes. Good morning. Thank you for taking my questions. I have two, please. The first one relates to the AT1. In the case, I mean, right now, you are – if we add the – I would say, the total capital ratio with the P2G, you are below the requirements –and I am sorry, at the end of the year, the fact that we are deeming the AT1 would lead you to be – to have to post, I would say, total capital ratio, which would be below the requirement plus the P2G, what would you do? Would you be in a way, obliged to postpone the redemption? And my second question relates to the sovereigns. If Russia or Ukraine were to default on the foreign currency debt, what would be the impact on the subsidiary in Ukraine and Russia would there be an impact, or would it be neutral since I imagine that you are invested in domestic suffering, I would say domestic issues and not foreign currency issues. Thank you.
Johann Strobl: Yes, coming to your first question. Indeed, with the total capital, we are below guidance as of now. But if we consider the sale of Bulgaria, then I think this is a good measure to clear this issue. So, I mean talking about the coupon on the AT1, I have to be very, very cautious. But in all the other aspects – let me put it that way, we are – if possible, we are willing to pay the coupon. That’s the one thing.
Unidentified Analyst: I am sorry, I was not clear enough. I was talking about the potential redemption of the AT1, which has a collection at the end of the year. And I mean if you are not above the total capital ratio plus the P2G, how could you consider redeeming the bond? I mean is there a discussion that starts with the ECB in this kind of scenario? Because obviously, you – even if it’s not a requirement, it’s still a guidance.
Johann Strobl: I think here, it’s very clear. Now I think there is almost no likelihood that we could repay the bond without having refinanced it. And we touched this topic before. What is our calling policy and to what extent it’s also driven economically. And here, we can confirm to something to considerable extent, it’s also driven economically. But here, I cannot be more precise at this point in time. But very clear on your detail question, I do not – I cannot imagine as of today, I would say as of today that we called the AT1 without refinancing.
Hannes Mosenbacher: Well, on the impact of the default when it comes to the Russia and Belarus, I think what we must bear in mind because of this low rating it of course, caused a very high risk weight. And what we would see is that we would then see an RWA relief, which is then higher than the increase in provisions for the regulatory expected loss. So, therefore, the impact on the CET1 is either flat or even slightly positive. And secondly, when it comes to repayment, since these are local currency bonds, we would not expect any economic loss. So, we have to distinct between the regulatory expected loss and the economic loss in terms of risk costs. So, local investments from both countries, we would assume that they are being honored. But that’s the way how it what would be the impact on the capital side. Thanks for your question.
Unidentified Analyst: Thank you very much.
Operator:  There are no further questions at this time. I will now conclude today’s conference call. Thank you for your participation.
Johann Strobl: Thank you for your participation. Thank you, operator. Thank you for taking the time. I wish you all the best. Bye-bye.
Hannes Mosenbacher: Bye.
Operator: You may now disconnect.